Operator: Good morning. My name is Christie and I will be your conference operator today. At this time, I would like to welcome everyone to the Jacob's First Quarter Earnings Conference Call. All lines have been placed on-mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions). Thank you. I will now turn today's conference over to Ms. Patty Bruner. Ma'am, you may begin your call.
Patty Bruner: Good morning. The company requests that we point out that any statements that the company makes today that are not based on historical fact are forward-looking statements. Although such statements are based on management's current estimates and expectations and currently available competitive, financial and economic data, forward-looking statements are inherently uncertain and involve risks and uncertainties that could cause actual results of the company to differ materially from what may be inferred from the forward-looking statements. For a description of some of the factors which may occur that could cause or contribute to such differences the company requests that you read its at most recent Annual Report on Form 10-K for the period ending September 30, 2008, including Item 1A, Risk Factors; Item 3, Legal Proceedings and Item 7, management's discussion and analysis of financial condition and results of operations contained therein. For a description of our business, legal proceedings and other information that describes the factors that could cause actual results to differ from such forward-looking statements. The company undertakes no obligation to release publicly any revisions or updates to any forward-looking statements, whether as a result of new information, future events or otherwise. Now I'll turn the call over to John Prosser, CFO of Jacobs.
John W. Prosser, Jr.: Thank you, Patty and good morning. I will briefly go through the financial highlights and then I'll turn it over to Craig Martin our President CEO to review the business operations for the quarter and comment on the business outlooks. If you go to slide four, our financial highlights, we had a very good quarter. Our record diluted earnings per share of $0.94 up nicely from a year ago, about 19% up from a year ago, and up slightly from the last quarter. Our net earnings at a 116.4 million for the first quarter was also up nicely from a year ago and last quarter. Our backlog reported at the end of quarter was 16 billion, again up nicely from last year down slightly from last quarter, but I'll go into that a little more detail on later slide. Our balance sheet continues to be strong and our net cash position increased to 746 million, which is up almost $200 million from the end of last quarter. We did revise our guidance. We have adjusted the upper-end of the guidance to down to 390, so the range is now $3.50... $3.55 to $3.90. Moving on to slide five; this just shows a track of our earnings over the last 10 years, and it continues to be a nice growth rate. If you look at the bars represented underneath the graph, that represents the trailing average five year compounded growth rate, and through the first quarter of '09 you'll see that has been cracking at approximately 30% well above the 15% annual compounded growth rate goal that we have out there as our long-term growth targets. We move to slide six, this is our backlog. If you look at it year-over-year, we are up about $1 billion from 15 to 16 billion, but down slightly down $700 million from last quarter. During the quarter, we did... we move $840 million of backlog for various contracts that were cancelled and of that 840 million about 450 million came out of the professional services. So, if you look at that, we adjust the backlog for those cancellations that would have been up from last quarter and so the sales -- implied sales rate for the quarter was slightly above what we worked off. And now I'd like to turn it over to Craig Martin to discuss the business overview.
Craig L. Martin: Thank you John, and good morning everyone. We're going to take a little time as we usually do to talk about how we're going to try to maintain that 15% average compound growth goal overtime. And its going to be the same story you've heard many times. I apologize for that, but its who we are and how we approach things some of that go through those same five bullets that we cover every one of these calls. I am talking some depth about our business model, so I won't say much here the same with our markets and what's going on there. I am not going to give an additional side on these last three boats, so I want to comment on those here. We continue to see good opportunity for growth through multi-domestic strategy. We believe being local to our customers is a huge value to us. And we're seeing a lot of leverage for us and our business model in doing so. Our work in the Middle East is going well, we continue to grow locally and we're leveraging that into some significant awards of additional work that's executed outside the Middle East. We think that will continue to be a positive for us; we're starting to evaluate China as an opportunity as well. So, we think that being domestic for our customers as we go forward will leverage us and help us deal with the market conditions in a more positive way. Acquisitions continue to be a part of what we're trying to achieve as well. You'll recall, we think about a third of our growth has to come from acquisitions over the long-term. You've seen our announcement about the winning the competition for the Atomic Weapons establishment contract. That's pending now on the European Union Commission approval, which we expect to get in a reasonable time. And that'll be a nice addition to our business from several aspects as we go forward. In general, acquisitions are looking more attractive. We believe pricing is starting to move down. Some of the firms that might have been going to holdup for premium pricing are under a little more stress. And that creates real opportunities for us. We continue to be interested in the upstream oil and gas business, in the infrastructure business and in the aerospace and defense business in terms of targets for acquisition. And then, we have always said, we're committed to drive down costs on a continuous basis. The benefits of that I think were obvious this quarter, it positions us to be more competitive and it really helps us in the tighter times when there is pressure on margins to continue to maintain profitability. We also see what we think is a movement to a value-based selection process in the buildings and infrastructure role as opposed to one that's simply qualifications based and obviously with our cost past year, that will help us as we go forward particularly as that might affect the stimulus kinds of infrastructure spending, and building spending for that matter. Let me go on now and talk a little more depth about our relationship based business model. I am slide eight now. First, I'll talk about the industry model, which we've always characterized as being a sort of our way of looking at the industry, not any specific competitor or group of competitors. But, for the most part, this is the way our industry sees the world. They see the world as competitive, transactional projects, big advance, lump sump turnkey projects that sort of thing, and that drives the business. In the other work, that might get done, small projects work, alliances, relationship-based work tends to be sort of second place in our competitors ranking. We believe this model is going to be under increasing pressure as we go forward, as a lot of the customers seek transactional behavior out of the industry and we're pretty sure that they're going to get it. We're going to continue to take the other track. We're going to focus on our preferred relationships in our long-term business. As you know, we've had a relationship-based business model for a couple of decades now. And it has worked very well, it's an ideal model for the market climate that we're in. For example, this last quarter, the peak (ph) business constituted about 92% of our new work. So, we are very successful in getting our preferred relationships and our customers to continue to work with us going forward. There is a lot of this work that represents small ongoing jobs, alliances, small cap work, now more than a third of our business is based on that steady work. It can be downsize, not to say that the volume of that work won't vary from time to time. But, for the most part that work is more steady, more predictable than the big event kinds of projects that are out there. So, we're feeling like the position we have, the relationship-based model is one that's going to help us continue to grow and as we go forward in FY'09 and beyond. Turning now to slide nine, I'll spend a little time talking about the markets. And let me start as usual with the downstream refining market. It's a big market for us obviously. It's a big share of our business. It's been a very active business, there have been a few cancellations, a few delays in that business. But overall, our clients are still expected to stay and they usually are JE specific clients, the Jacobs specific clients, something north of $30 billion downstream in '09. So, we think it's a pretty good market. There are a number of drivers that are helping that. There are things like environmental clean-up, the MSAT II regulations for removal of benzene. That's forward to $6 billion worth of work just moving into the execution phase. The national point source emission regulation sub part JA looks like that's going to drive another billion or two this year. I am sorry.... 1.2 billion this year. And that's a real strength of us because these will tend to be small projects in the 10 to $30 million range. They'll fit nicely in our local relationship business with our customers. And then you have the huge impact of the Morpole-6 (ph). Our guys estimate that at $80 billion over the next few years, 4 billion of that in the 2009, 2010 timeframe. So there's some pretty steady work there. On top of that we continue to see crude rate expansions, crude rate changes that are driving additional work in a number of locations. I know we're seeing a little bit of creek expansion. Not anything like new refineries or major expansions but a little bit of creek expansion particularly because the crack-spread has gone back-up to pretty high levels from a profitability point of view. We had a really weak quarter last quarter but now crack spreads are back up to where they were in the previous quarter's time frame. And we think that's a positive for the industry. So we think that and perhaps what might be steady oil prices in the Middle East will help us on the refining side. We're pretty up being about where we are relative to where we could be in that marketplace. On the oil and gas side on the upstream side again our clients go and spend the most time with have an $80 billion plus standing spending plan. Now, we will access all of that because our straits are really on the oil sands and a major gas project. But we still see a lot of opportunity in those areas. This team assisted gravity drainage type projects in tar sands SAGD as they call it, is one of our great strengths and those are still the most financially feasible projects. We expect the tar sands to return to a reasonable capital spending plan like they did in 2005, 2006 based on an oil price in the mid 40s and there are a number projects that will make sense and get funded and go forward. And we expect to be a beneficiary of a number of those projects. In addition, the gas projects around the world are heating up considerably particularly for us in the Middle East and Canada. It's another area where we have real strength in terms of gas treatment or gas handling that sort of things. And we expect to see a fair amount of leverage in that area as well. So while there's a lot of turmoil in the oil and gas industry right now, I think we're positioned to benefit well from a couple of trends that are still positive. On the chemical side is still slow outside the Middle East. We think the Middle East is still a major growth opportunity for Jacobs. We intent to continue to use our model of slow and steady penetration of the local client, get a substantial presence on the ground and leverage that to do the small capital asset work for our chemical customers there as well. While our local presence will also spin-off work outside of the Middle East for our operations in the U.S. and in Europe and we think that's a plus. So overall, our business is going to be a few major projects and that steady work that we've done for years and years you'll recall our chemicals business hasn't grown as an industry in a long time but we've managed to continue to grow and have a steady presence in that industry because of where we position. One other small spot that may be interesting and continues to be interesting in spite of pricing changes is the polysilicon market. We think there is some potential still for additional work in that area as well. Moving on to our other category that's pulp and paper, hi-tech food and consumer products. Pretty much a flat industry and have been flat for a long time. We are seeing some activity in the pulp and paper industry and some activity for us in particular in the hi-tech world, pretty much because we're the only ones around in a couple of these areas right now that benefits us from a position point of view. We are also seeing a fair amount of activity in food and consumer products in the form of alliance and small cap work that we're anxious to see continue not a great big business probably never will be a great big business for us, but it's a good business and I think we can continue to maintain a good position and get some growth in those offices that do that kind of work. Moving on to pharma-bio (ph), as you know this is a business driven predominantly by drug discovery there is a fair amount of activity in vaccines and biotech, but I wouldn't tell you that its as robust as it has been in the past. We do have the advantage though of really being the last man standing in the sense that the major players in the biotech, vaccines, pharmaceutical industries, have sort of retreated leaving Jacobs as the industry leader. So we think we'll continue to benefit from that business. Now moving on to our government business, we've got three businesses here, national governments, buildings and infrastructure. We expect all of those things to benefit from the stimulus bail and we'll come back to some of those issues on a case-by-case basis, but for most part these businesses are pretty robust right now. Lets start with our national governments business and a part of that, that is the research and development test engineering, scientific and technical consulting business. That business is growing for us. We see a lot of activity from our customers. There are a number of opportunities on the prospect list both in the United States and in Europe. The win of AWE will also solidify our credentials in the labs arena, and so we expect to see a fairly good flow of opportunities and we expect actually to see some pretty good win as we go forward in that arena. That business we think will benefit from spending on one hand and perhaps not benefit from the piece dividend on the other hand, but overall we see the business is steady to slightly up as we go forward. On the other side of our national governments business is predominantly our environmental cleanup work. We're starting to gain some share back in the U.S., although we don't think the U.S. has been a growth market. Its entirely possible with the leadership in Washington today that we will see additional emphasis on environmental cleanup. That may stimulate that market and increase the opportunities as well as allowing us to increase our share. In the UK the national -- the Nuclear Decommissioning Authority has yet to let a number of opportunities. We see some huge project opportunities as well as some major cleanup leadership roles. Remember the spending plan there was something like a $150 billion. We expect that that money will get spend and the fact that its being spend a little slower just means there is more opportunity for the individual project level participation for us. Again the stimulus build both in UK and U.S. may well help the environmental business as we go forward. I don't think that's an '09 impact but it might well be obtained and beyond. Moving on to our buildings business, remember this is technical buildings, hospitals, schools, jails that sort of things. It's an active market for us particularly the healthcare market both here and in Europe is very strong, and we're very well positioned. This is a market where the bond issues for example for schools that we told you in our last conference call. We're looking to pass all of this. In fact every bond issue we were tracking when we had the first -- the year end conference call in November past, and that's a huge amount of potential work for all of us in both buildings and infrastructure. So, we see the buildings business particularly on the government buildings, technical building size being promising. We also see some good opportunities in the logistics and distribution side of that business for some major retailers both here and in Europe. So, that's a positive as well. Moving on to infrastructure, the market is very strong. Our prospects are robust. We're finding more prospects out there actually than we had anticipated 90 days ago, and that surprising in the phase of a pending stimulus bill, but in fact people are getting out there and spending money and that business again driven predominantly by bond issues looks pretty positive for us in the U.S. In UK, the chancellor of exchequer has said they're going to spend their way out of any recession and that means infrastructure and buildings stimulus in UK as well. It's important to note that even though it appears to be only about 35% of our business on this chart, our home office head count in these three units national governments, buildings, and infrastructure is about half our head count overall. So the impacts of growth in this business are probably easy to underestimate, if you look at the business just on a revenue basis. Moving on to slide 10, this is kind of a commercial and then we'll throw this open to questions. I think we have a lot of reasons that continue to be attracted as we sit here today. We've got a strong customer driven business model. We're very diverse as a company. Our cost focus puts us in a really strong position in difficult markets. We have an excellent balance sheet with a nice cash position and that's our money, not somebody's else's, and our target is 15% average annual EPS growth looks to me to be one we'll be able to continue to maintain as we go forward. So with that Christie, I'll turn it over to questions.
Operator: (Operators Instructions). Your first question comes from the line of Andy Kaplowitz of Barclays Capital.
Andy Kaplowitz - Barclays Capital: Good morning guys, can you hear me okay?
Craig Martin: Yeah hearing fine Andy.
Andy Kaplowitz - Barclays Capital: So the 840 million that you took out of backlog, can you give us a little more color on that if possible. And just a follow-up to that is, can you tell us as it stands, how much approximately oil sands exposures you have at Jacobs?
John Prosser, Jr.: Well, if you look at the 840 million, about half of that came out of the upstream oil and gas. And then about another 25% came out of refining. So, other 25 will spread across the other businesses. So, clearly the upstream was the bigger part of that. And while we don't breakdown our backlog by industry group per se. If you look at it, it probably breaks down pretty close to the revenue, trailing revenues. I think it still holds through that. So, our trailing revenues on the upstream is well about 14%, 11% or...
Craig Martin: 10%.
John Prosser, Jr.: 10%. And that probably is about where our backlog is as well.
Andy Kaplowitz - Barclays Capital: John, could you tell us if you took some credit backlog?
John Prosser, Jr.: Well, we don't typically talk customer-by-customer. And backlog, where we put in will be based on how projects are released and things like that. And our policy on backlog is that we don't take out backlog if it's only delayed or postponed. We take it out when it's cancelled. And within that, we really don't want to comment, I don't think project-by-project.
Andy Kaplowitz - Barclays Capital: Okay. John and Craig, you mentioned in a press release that you saw... there was a comment that some existing programs were slowing down a bit. And that's one of the reasons why it seems like you took down guidance at the top end of the range. Could you give us a little more color on that? Like just if we noticed things like... now if you look at Motiva, there has been some recent press about, maybe some layoffs there, not too many, but a few. Could you talk a little bit more about that comment?
Craig Martin: Sure, let me try to address that Andy. A number of our customers are looking at their programs and making decision that say well, we originally are just going to go like this to close (ph) sort to speak. But in looking at it, we can only afford to spend $2 billion this year. And so, they've asked us to organized the project in such a way that we only spend $2 billion this year. I am just picking number, I'm not being client specific. And that's not uncommon across a lot of the system. So, what we're trying to say is that rate at which we may eat some of what's in backlog is going to be slower than we might have thought it would be a quarter a ago. But the fact of the matter is these customers are... for the most part at least, are abandoning these projects. They are just being cash flow careful. Does that make sense?
Andy Kaplowitz - Barclays Capital: Yes, definitely. Craig, is there any way to break down that refining exposure into... how much really is clean fuels or... in terms of backlog, how much is heavy crude and maybe how much is expansion? Just so we get an idea of how much of your business really is that clean fuels work, which can viewed as maybe less recession or more recession resistant?
Craig Martin: We don't have that breakdown. And I think that's probably more detailed, and our customers liked us to get into.
Andy Kaplowitz - Barclays Capital: Got you. Okay, that's fair. I'll get back in queue. Thank you.
Operator: Your next question comes from the line of Avi Fisher of BMO Capital Markets.
Avram Fisher - BMO Capital Markets: Thanks for taking my question. Andy asked you, you said you don't take delayed projects out of backlog. Can you just quantify though how much in your backlog is could be qualified as delayed?
Craig Martin: I'd have... first of all, I'd say that number is not very big and that's probably is quantified as I can get. What we look at as we look at backlog and maybe a better perspective on that is we told you that as we look at any perspective 12 months in front of us, we expect that 60 to 65% of work that we're going to execute that next 12 months should be in backlog. And we continue to be in that position.
Avram Fisher - BMO Capital Markets: Okay. Do you think you've seen the... have you seen the worst of the cancellations do you think or...
Craig Martin: Oh, my goodness, Avi. How would you know the answer to that question?
John Prosser, Jr.: Yeah.
Craig Martin: I'd certainly like to think that. I just have no way to say that that's true or not true.
Avram Fisher - BMO Capital Markets: Right. And when... if there is more slack in the system, what is the impact? Are you seeing any impact on the labor multiple or your engineering work?
Craig Martin: Labor multiples have not had much impact yet. We expect as the market softens and the competition levels go up that our customers will press us and our competitors to take the margins down. And as we see that, we'll have to address it. But at least at this point in time, there is a still enough sort of industry backlog that that hasn't been a big issue.
Avram Fisher - BMO Capital Markets: Got you.
Craig Martin: Yes, but it is coming. There is no question that it's coming.
Avram Fisher - BMO Capital Markets: And in terms of the infrastructure and ability to the U.S. can you just clarify or tell us that what your biggest states are for those markets, I guess more for infrastructure?
Craig Martin: Well, biggest... we're pretty diverse in terms of our position in infrastructure. Places like Texas, Florida, California, New York, New Jersey are all pretty big for us. Washington State is also quite big for us.
Avram Fisher - BMO Capital Markets: Right.
Craig Martin: So it's spread across the country pretty widely.
Avram Fisher - BMO Capital Markets: And in terms of... I mean, I think you referred to this, I'm not sure; it seems like I missed here something you said. But you said you are looking at value based collections?
Craig Martin: Value based selection.
Avram Fisher - BMO Capital Markets: Selection.
Craig Martin: Selection
Avram Fisher - BMO Capital Markets: Okay. I wasn't sure what that meant. And finally, it looks like you bought some shares back this quarter. Early the share count went down sequentially. Is that a buy back or is that...?
Craig Martin: No, that's a dilution effect. When the stock price goes down, the dilution effects go down.
Avram Fisher - BMO Capital Markets: Okay. And... okay, thanks for your questions. Thanks for letting me ask questions.
Craig Martin: Not a problem.
Avram Fisher - BMO Capital Markets: I'll turn it over. Operator: Your next question comes from the line of Steven Fisher of UBS.
Steven Fisher - UBS: Hi, good morning.
Craig Martin: Good morning, Steven.
Steven Fisher - UBS: On the SG&A, can you give us a sense of how much the lower dollar level was a function of mix or have you actually done some of that M&A related cost cutting that you mentioned recently?
Craig Martin: Well, It's a combination of three things in terms of the reduction we saw in the first quarter; part of it's currency. Because we do have a number of operations in Europe and they are good profitable operations, but they've got G&As associated with them. Part of it is just really aggressive cost management on our part. To get our cost down in the face of what we thought would be a softer market. And part of it's the benefit of the holidays during the Christmas holiday in particular when we have the reduced G&As, so people took a lot of vacation.
Steven Fisher - UBS: Got it. And with bidding activity levels, have any effect on any material way on SG&A typically?
Craig Martin: Not typically. We run a very, very tight shop from a bidding stand point, from a marketing SG&A, sales SG&A. And so the influence there not very significant in the scheme of things (ph).
Steven Fisher - UBS: Okay. And since you mentioned currency, did FX have any impact in your reported backlog?
Craig Martin: I would say not much, no.
Steven Fisher - UBS: Okay. And then can you just talk about headcount trends and what actions you took during the first quarter and how you are thinking about staffing levels for the next few quarters?
Craig Martin: Well, as you can see from our earnings release, headcount is down a bit. Part of that is in the field construction related headcount and part of that is home office. And it's just a matter of as always, we keep our overheads proportionate to our revenue, and our... not revenue, so much as our margin flow from projects. So, we did some selective turning back and will continue to do that as we see the need.
Steven Fisher - UBS: And with the steel cuts, would that primarily be in the oil sands?
Craig Martin: Yes, some in oil sands, some in refining construction.
Steven Fisher - UBS: Okay. And then lastly, the cash balance was up nicely at the end of the quarter. Can you just give a sense of how that balance changed at the end of the quarter, any meaningful different?
John Prosser, Jr.: Since the end of December?
Steven Fisher - UBS: Yeah.
John Prosser, Jr.: No, it hasn't changed significantly, it continues to grow. I mean our business is a cash flow business, and it generates normal flow of things; it generates cash.
Steven Fisher - UBS: And you haven't closed the AWE deal yet down the line, right?
Craig Martin: That's right.
John Prosser, Jr.: That's right.
Craig Martin: And we'll close once we get EU Commission approval.
Steven Fisher - UBS: Okay. Any sense of timing on that?
Craig Martin: Well, there is two phases, it's a really complicated process, something in the 60 to 120 days. I'm looking at our lawyer here and he's shaking his head yes. So that's probably about right.
Steven Fisher - UBS: From when it was announced or from today?
Craig Martin: Yeah, from today.
Steven Fisher - UBS: Okay, great. Thanks a lot. Operator: Your next question comes from the line of John Rogers of D.A. Davidson.
John Rogers - D.A. Davidson: Hey good morning.
John Prosser, Jr.: Good morning John.
John Rogers - D.A. Davidson: When you look at the chart on slide 8 of your model, I was curious in terms of the preferred relationships and the discrete projects, is that a fair representation of backlog as well or discrete projects come from a large proportion of backlog?
Craig Martin: No, if anything discrete projects would be a smaller portion of backlog, because they tend to happen on an event basis.
John Rogers - D.A. Davidson: Okay.
Craig Martin: So, there is not that sort of ongoing certainty of project work.
John Rogers - D.A. Davidson: Okay.
Craig Martin: Probably, a little less.
John Rogers - D.A. Davidson: Okay. But even with preferred relationships given that you have that long standing relationship if you aren't... regularly adding to that backlog on a continuous basis?
Craig Martin: Yes, we regularly add to backlog in all these categories on a continuous basis. But if you at backlog at any instant in time, it probably is a little over weighted in the preferred relationship area.
John Rogers - D.A. Davidson: Okay, okay, great. And then secondly in terms of the acquisitions, you talked about a little bit about that, Craig, but in terms of the areas that you are looking at, you mentioned the upstream as well as infrastructure and then I think the third area was aerospace.
Craig Martin: Right.
John Rogers - D.A. Davidson: The upstream; is it your intention to continue to expand that globally? I mean you move more into the Middle East there, but... or do you look at the downturn in oil sands work is an opportunity?
Craig Martin: It's our intention to continue to expand that business globally, but upstream oil and gas. We think it's... I think as I've mentioned several times, the huge market, something on the order of 300 billion in annual spend of which we have an insignificant share. So we think there is lots of opportunity to expand. That would include opportunities in the tar sands. But I think as much it includes opportunities in other locations around the globe and we think there is good long term business that matches our business model. We probably aren't going to be doing great big jobs at far away places as a part of that under any scenario, but there is plenty of the ongoing and steady business kind of oil and gas work out there that we'd like to do.
John Rogers - D.A. Davidson: Okay. But... and less so in the downstream side.
Craig Martin: Well, we're pretty much where we need to be in the downstream side. If you look at it, we have a strong presence on the Gulf Coast and the West Coast of the U.S. We have a strong presence in Northern Europe. We have a strong presence in Singapore. We have a developing presence in the Middle East. We have a strong presence in India, that's where the refining gets done. So I think there it's a penetration and market share gain.
John Rogers - D.A. Davidson: Okay. Okay, with your existing half.
Craig Martin: There may be some niche acquisitions that would help us; but for the most part, it's just hard work.
John Rogers - D.A. Davidson: Okay. And on the aerospace side?
Craig Martin: Yeah. The key there we'd really like this research and development, test engineering, scientific and technical consultants business that we have. And for a long time, the multiples net industry were just outrageous. And we couldn't figure out how to pay a market multiple, and not have it be dilutive in someway. Lately we've seen a considerable draw in market multiples in that industry partly because of the difficulty private equity seems to be having getting their money together, partly because the industry is not as fashionable as it was. And we think there are going to be some opportunities for small and mid size acquisitions that would be very additive to our capability, and would expand our business. So we're on the lookout for those kinds of deals.
John Rogers - D.A. Davidson: Great, thank you.
Operator: Your next question comes from the line of Michael Dudas of Jefferies.
Michael Dudas - Jefferies & Co.: Good morning gentlemen.
Craig Martin: Good morning.
Michael Dudas - Jefferies & Co.: Craig or John, could you talk a little about some of the bonding opportunities we heard about from last quarter, and where they stand and in relation with some of the work flow opportunities that you have today, and what could accelerate as maybe the credit market starts to get a little bit better, so we can get some of those bonds after market?
Craig Martin: Yeah, let me comment on that, Mike. As you recall, we were tracking $47 billion round numbers of bond issues. Probably 20 of that... roughly 20 of that in the buildings arena, and 30 of that or little bit less in the infrastructure arena; all of those packed (ph). And so now it's a matter of taking advantages of those. And what we are finding in terms of who is doing, what is it, and a little bit of a mix bag, some of the customers are going to the bond market now, they are getting financing and they are moving ahead with their projects. For example, one of the big bond issues what LA did (ph) or their so-called measure are that by the way wasn't in my $47 billion. And they are moving ahead with projects and awards as we speak. Some of the others are of a view that the stimulus package is going to change the tax implications immunities to tax free bounds and therefore they are holding back in terms of going to the market till they get that. But what aren't hearing from anybody is there is no money out there. Now I say that from anybody, I can't tell you that of the 18 or 19 bond issues I am looking at on my sheet of papers in front of me that we've talked all 18 or 19 of those. But it seems to be either temporizing to till the stimulus plan shows up or moving sort of straight ahead. Does that answer your question?
Michael Dudas - Jefferies & Co.: Yeah, it's a fair assessment; thank you, Craig. Relative to positioning the company going forward for the next five years, and given what we have been witnessing in the global economy and some of your important markets, does the Board or management feel like they want to be more geared towards public sector funding versus private sector? Is that also looking at where you want to be allocating resources and bodies going forward the next few years. So maybe there is a bit more of the balance not knowing the severity or the length of capital spending declines when they see in the private sector?
Craig Martin: Well, I think we are pretty happy with the balance we have now. But I would expect it will tilt slightly toward public sector over the next couple of years or however long the... I mean we are going to... without abandoning any of our core clients, because we think that's a critical mistake. So we are going to stick with our clients across all of our markets. But without abandoning any of our core client, there clearly is going to be more opportunity in the near term; well, that's an exaggeration; I didn't really say that (ph). There will be perhaps more opportunities on the buildings and infrastructure side of the business, the public sector side of the business than there maybe on the private sector side, but I don't want you to get the idea that that's a huge imbalance. We really don't see that now.
Michael Dudas - Jefferies & Co.: Sure.
Craig Martin: Now get a total collapse of industry; that's a different conversation. But we want to keep that balance, because we think in a long run that's what keeps the growth going steady.
Michael Dudas - Jefferies & Co.: I appreciate... hello?
Craig Martin: Yes.
Michael Dudas - Jefferies & Co.: No, that's fine. I appreciate those comments. Thank you, thank you Craig. Thanks John.
Operator: Your next question comes from the line of Jamie Cook of Credit Suisse.
Jamie Cook - Credit Suisse: Hi good morning.
Craig Martin: Good morning Jamie.
Jamie Cook - Credit Suisse: My first question: can you guys speak... we've heard a lot about cancellations within the oil sands. Can you speak more specifically to what you are seeing in Middle East and whether you are seeing a fair amount of push out in that region as well. And then my second question is a follow up. Can you talk about... I was also hearing a big reason for the delays was... people are trying to renegotiate for lower material costs or labor costs, what you are seeing on that front, and whether in this quarter, there was any backlog repricing just as cost inflation went down?
Noel Watson: Well. Jamie, it's Noel
Jamie Cook - Credit Suisse: Hi, Noel.
Noel Watson: I'll talk about the middle East for a moment. Like any smart buyer, the Middle East is taking a hard look at the projects, and let's talk specifically about Saudi for a minute, where we've got a fairly sizeable of presence. So big companies in Saudi are looking at the project they got in hand. They are obviously going to get some of these re-bid in terms of current commodity pricing and that type of thing. But... and of course, because your prices drop some of the upstream things that slowed down, but the down stream projects refineries the chemical plants, that type of thing; all appear to be live and well right now. And there seems to be lot of emphasis on it, but there isn't ay doubt that re-looking at the price structure, because there is still fair amount of lump sum turnkey work there. So they are getting them re-bid generally. And so, that would settle the Middle East; that would settle Saudi in particular. We've also got a fairly sizeable presence in Abu Dhabi, but we're doing buildings and infrastructure there, and most of that work continues to move ahead. And so we don't see a lot of real delay in repricing backlog. We certainly... we would... there won't be enough change in any of our backlog it would be worth repricing. I think that's fair statement; right, Craig?
Craig Martin: Well, that's right. Jamie, the way we look at backlog is that we revalue at every quarter. So we look at each project and determine what we think the spend is going to be going-forward, that's and our scope sort to speak. And so that was repricing events to the extend the estimate of the cost complete goes down that just automatically falls into the backlog, but it's not something we isolate.
Jamie Cook - Credit Suisse: Okay. And just a follow up, you alluded a little bit I think to... I think what might have been obvious question just about a little bit more of a competitive environment, you won't necessarily participate in it. Do you see the energy market moving more towards fix price overtime versus cost plus and how will you run... I'm assuming you won't change your strategy but if you could just talk generally what you've got to say.
Craig Martin: Sure, we do expect that the customers who have been unable to get lump sum pricing and therefore have pretty much been doing everything on a cost reimbursable basis, we'll go back to try and to get some part of that done on a lump sum going forward. So we expect that there'll be projects and parts of projects that will be done lump sum that were done on a cost reimbursable basis two years ago. I can't tell you what I think there and how big that trend will be it depend a little bit on how long and how deep any pull back in the industry is. But it's not going to affect in our opinion is not going to affect our position as we go forward. We're going to stick to our guns and do what we need to do because we know that's what creates best value for the customer, but I would -- unfortunately some well behaved competitors won't behave so well I am afraid as we go forward.
Jamie Cook - Credit Suisse: Okay. And then just my last question, if we look at your core customers right now versus may be where it was two or three years ago. Had you added and you don't have to tell, have you added any new material customers or increased shares within a particular customer which could potentially help you weather the downturn better versus the storage cycles just because either your client's base has increased or your market share within that client base has increased?
Craig Martin: Well let me answer the questions and then comment on what that answer means. We have added about one core client every year for almost as long as I can remember and we continue to identify clients that we think are our potential core clients as we go forward. And we very definitely increased our market share of the core clients we have. I think one of the things that I am happy as to about in terms of our organization's ability is it's is ability to grow with the share of all of it with individual customers. So both those are positive. I think it would be bragging those to say that that will make going through this next couple of years easy. Those customers will change their CapEx, if their CapEx goes down even if we've done a nice job of growing our share, our share of their CapEx will go down and that will make for a smaller number. So I don't think you can impute from that, that we've become sort of immune to a cyclic downturn. I think perhaps you could say that again in terms of our business model not anything and particular we've done last couple of years that were less affected by a cyclic downturn than may be some our competitors would be.
Jamie Cook - Credit Suisse: Thanks. I'll get back to queue.
Operator: Your next question comes from the line of Richard Paget of Morgan Joseph.
Richard Paget - Morgan Joseph & Co Inc.: Good morning.
Craig Martin: Good morning.
Richard Paget - Morgan Joseph & Co Inc.: I wonder if you could talk a little bit about what exactly happens with the cancellation. Is there a break up to you I mean, I guess we can obviously extrapolate what the revenue impact is, but do you suddenly have a big work force of under utilized people and those utilization goes down and there could potentially be a margin hit as well?
John Prosser, Jr.: All of those things happen. I like the idea of a break up. See I need you to help us negotiate our contract going forward. Generally what we get when a project is cancelled is we get some reasonable but modest allowances to demobilize. And so we'll be given a couple of weeks to get people off the job and wind up the documents, put everything away. But it's very short and it certainly does not cover any of the G&A impacts that result from having a whole bunch of people with nothing to do. And so what we have to do is react very quickly and as quickly as we can to get those folks re-deployed or get them off the pay roll if we can't re-deploy them, and there is always some G&A hit associated with that. But I will tell you that we're pretty good at managing those costs.
Richard Paget - Morgan Joseph & Co Inc.: Okay. And then with delays is it generally the same thing, just I guess not obviously is extreme?
John Prosser, Jr.: Well, the delays tend to be more in the future. The delays tend not to have as much of an immediate impact as they do timing of additional growth. So we're working on a front end for a project and the customer says we're going to push the job out and go slower. What that means is your staff up curve just got flatter. As opposed to not -- if you're fully staffed and so your absolute peak of the job and they say We're going to drag it out you unwind those people more slowly than you do in a cancellation. And so it's a little more manageable.
Richard Paget - Morgan Joseph & Co Inc.: Okay. And then Craig I assume in your comments on the acquisitions market, you said sellers' expectations have coming in bad mean. Can you quantify that in terms of what multiples were maybe six to nine months ago versus what they are now?
Craig Martin: Well, what they are now I guess is the proof of the pudding is on the tasting, we haven't closed any deals to confirm our opinions. But we think that the markets are going to move down, they are more traditional five to eight times of EBITDA from maybe a seven to 10, not too long ago. So its material.
Richard Paget - Morgan Joseph & Co Inc.: And then one final question on the stimulus package, I mean, it seems there is a lot of new surroundingness, but, how are you guys viewing what the ultimate market impact is? Maybe you see this as double-digit incremental growth or some of this is just going to be replacement for things that have slowed down and it might just help mitigate any significant slowdown in the market?
Craig Martin: Well, I think that it's a little bit of the ladder, in fact, a lot of the ladder and maybe a little bit of it but we think that the stimulus package will add to what otherwise would have been a weak market and make it maybe even a good market. Double digit growth, I'm not sure I'd go that far. But, I think the stimulus bill will be more than just fill the whole backup to level a kind of impact. Now, we think that's a 2010 and beyond discussion and we don't have the... we don't expect the stimulus package have much impact at all on '09.
Richard Paget - Morgan Joseph & Co Inc.: Okay, thanks. I'll get back in queue.
Operator: Your next question comes from the line of Barry Bannister of Stifel Nicolaus.
Barry Bannister - Stifel Nicolaus & Company, Inc.: Hey guys, nice quarter.
Craig Martin: Thanks Barry.
Barry Bannister - Stifel Nicolaus & Company, Inc.: If I look at the company, it's been able to string together about four quarters of very good margins despite field services rising as a percentage of revenues. Is that more because the technical professional services within backlog is just so good that it offsets the rising field service, because field service itself is better than it was in the past?
John Prosser, Jr.: Well, I think, we've seen a shift as we've been taking about. So, we've also seen continued growth in our professional services side. So, I think, the fact that the professional services is growing in the total revenue and margins are growing has been part of the strength. We've also been able to control the... and keep our G&A control in fairly tight. So, that's helped in offsetting a little bit of maybe softness at the gross margin level. So, I think it's probably a little bit of both. I wouldn't attribute it all to one or all to other. I think we're going to continue to see pressure on those operating margin percentages over the next 24 months. I am pleased and some of that will also come from some of this pricing pressures that we're seeing a great deal at this point, but we do expect to see more of in the marketplace over the next year or so.
Barry Bannister - Stifel Nicolaus & Company, Inc.: Okay. And on the last call, Craig used the word bubble a few times, and I guess that shook up a lot of analyst. But, in this call you seem to be fairly positive on the 15% long-term growth goal for EBIT. Has there been a change in tone or just a change in mood, how do we read that?
Craig Martin: Well, I till think that we're just going through a bubble. I don't think you could characterize what happened to oil prices of example, any other way. So, I think we're coming out of a relatively hot market. And, I don't think we're going to see that again for a while. So, I would stand by my bubble characterization. On the other hand, we are not forecasting gloom and doom. We could turn out to be wrong about that, because clearly there is a lot of uncertainty in the marketplace out there. But, for the most part we have large stable customers who are not doing sort of one-off things in far away places or dependent on finance to get their work done. And as a result, the bubble was truly a bubble and not sort of a tidal wave that crashed over us and crushed us all, looking terrible, I am sorry about that. Anyway, it's the best I can at that time. So, I don't think the level of optimism is higher today than it was a quarter ago, but I don't think its lower either.
Barry Bannister - Stifel Nicolaus & Company, Inc.: And Craig you made a point of saying that half of your head count is national government buildings and infrastructure. Were you implying that since those look like they're picking up, that you have operating leverage inherent to that and that's supportive of your 15% long-term earnings growth goal?
Craig Martin: Yeah I think I was -- I mean may be my objectives were a little more fundamental in that. I think that because of the revenue imbalance in our home office business, because of the revenue imbalance in our construction business being heavily process oriented. I think that the market under recognizes or undervalues our public sector business in terms of its capability and ability to contribute. And so, I think the answer to your question is yes I do expect to get some benefit from our infrastructure business that, because I think we're a bigger player frankly than most people give us credit for.
Barry Bannister - Stifel Nicolaus & Company, Inc.: Right.
Craig Martin: And that was my point and by the way the 50-50 discussion about half of our home office head count. Almost all of our constructions forces are deployed, and that other part of our head count are deployed out on construction sites and the process industry.
Barry Bannister - Stifel Nicolaus & Company, Inc.: Okay. Great thanks a lot.
Operator: Your next question comes from the line of Tahira Afzal of Keybanc Capital.
Tahira Afzal - Keybanc Capital: Good morning, gentlemen.
Craig Martin: Good morning, Tahira.
John Prosser, Jr.: Good morning.
Tahira Afzal - Keybanc Capital: Just a couple of questions. Number one, if you were to look at your backlogs in terms on sort of divided up roughly between those projects that represents expansion, that projects versus those that are more maintenance and regulatory oriented, would that be possible?
Craig Martin: I suppose we can do it, but we won't.
Tahira Afzal - Keybanc Capital: No, okay.
Craig Martin: Okay.
Tahira Afzal - Keybanc Capital: I am just wondering, I understand right now and obviously things are changing very rapidly in this environment. Can you recall the last time you had something like a $3 billion backlog reversal or something that is like 16-17% of your backlog in the past and what impact that had?
Craig Martin: I'm looking at our Chairman for the moment to see if he can recall anything of that now.
Noel Watson: I don't. The problem is the company is so much bigger today, but there isn't any doubt that there's probably been times when we've had backlog reversals all over. Generally speaking and I think I said at the shareholders meeting last week major cancellations out of backlog are not common place, most of the times these projects have a life of their own. We're late putting them in the backlog and they keep going. And I think as Craig told you last quarter, the removal from backlog last quarter was so composed, and but it didn't affect the business at that time a lot. So, on percentage basis, I'm sure we had it, but I couldn't go find it relevant (ph) money. But we would not expect to see a lot of major reversals.
Tahira Afzal - Keybanc Capital: If you're looking at your oil sands backlog as what you have right now and compare it to what you had lets say a couple of quarters ago. Is it more sort of maintenance oriented at the moment or do you still have some large discretionary projects in there?
Craig Martin: We continue to do a fair amount of project work in the tar sands and I think I mentioned in my prepared remarks that the steam assistant gravy drainage part of this business, it still has financially attractive returns. And as a result there are a number of those projects that are -- have been awarded for example in the last 90 days. So to suggest that its all maintenance backlog, no that's not the case at all. There is still a substantial amount of project work in what we're doing up in the tar sands, there is in the rest of the company going forward.
Tahira Afzal - Keybanc Capital: Got it. So I mean if I am looking the people that were -- that have essentially become available with the cancellations that you've seen over the last couple of quarters. Can you give us an update on what your strategy is in terms of those people?
Craig Martin: Well again I think in terms of people become available in the company if we can redeployed them on available work that's what we do, if we can redeploy them then we have to reduced the footwork force in that area or that office. And that's I mean we have that problem year in and year out, even in the best of times we'll find offices where we just can't redeployed the people and we have to have a lay-off.
Tahira Afzal - Keybanc Capital: Got it. And just one last question, your guidance revision downwards by $0.15. How much if you were to divide it roughly, how much is related to the cancellations we just saw on the 840 million and how much is just you're taking a more conservative stance given your end markets are uncertain right now.
Craig Martin: I would not attribute any of it to the cancellations. We really don't look at it that way. What we look at it is what the backlog is prospectively and we just don't think its realistic for us to hit a four or five number. So we thought like we had to take it out to street.
Tahira Afzal - Keybanc Capital: All right. And then if you're looking at the acquisitions I assume they're going to be a larger piece of your 15% growth rate over the next couple of years?
Craig Martin: Well acquisitions will contribute to the 15% in the range, about a third or there about as we go forward. But remember that acquisitions are only very slightly accretive in the first year or two because of the amortization of intangibles.
Tahira Afzal - Keybanc Capital: Right.
Craig Martin: So it takes two or three years before an acquisition really starts to contribute to the EPS.
Tahira Afzal - Keybanc Capital: Got it. And I mean you have Carter and Burgess acquisition to be reaching that point?
Craig Martin: Well, I said it takes two or three years and Carter and Burgess is about 15 months old.
Tahira Afzal - Keybanc Capital: Got it, okay. Thank you very much.
Operator: Your next question comes from the line of David Yuschak of SMH Capital.
David Yuschak - SMH Capital: Good morning, gentlemen.
Craig Martin: Good morning, David.
David Yuschak - SMH Capital: As far as your revenue in the fourth quarter in the first quarter in both the oil and gas and refining were pretty strong compared to your results earlier in last fiscal year. Are you seeing a lot of wind down in energy projects right now, as its kind of energy softened or can you give us some sense as to how that may be shaping up as far as wind down in that because its been so strong.
John Prosser, Jr.: I am sure wind down would be the word that I would use. We are seeing in terms of the revenues, that's the part... that part of it is getting pushed out as customers try to slowdown their CapEx. And so certainly that's going to impact the revenues from that end of the business as we go forward. But again we're seeing new projects authorized and we're seeing projects that are environmentally driven or otherwise have crude side driven that have drivers other than the market conditions that will continue to drive construction work. So I don't think we're seeing a lying down of the business on a construction side at all. That would be the wrong word to use.
David Yuschak - SMH Capital: One more thing about it, wind down of existing projects are you seeing a lot of that occurring right now in the mix?
John Prosser, Jr.: Not really. I'd say that for the most part, the projects we have ongoing, are either projects that are just going forward as they have or there are ones where CapEx has been reduced, so its not really a wind down, it's a push out.
David Yuschak - SMH Capital: Okay, okay. Now as far as you mentioned earlier about backlog being comfortable to your revenue on trailing 12 months, is that fair to say then right now?
John Prosser, Jr.: It's on a forward 12.
David Yuschak - SMH Capital: Okay. So, oil and gas and refineries to be in that 40 plus percent on backlog right now?
John Prosser, Jr.: Upstream and downstream will be in that general vicinity. We are percept, but the kind that was based upon our revenue mix our backlog is kind of attracts our revenue mix.
David Yuschak - SMH Capital: Okay. Then as far as you've mentioned earlier that you generally burn about 60 to 65% on a longer term basis. Is there any reason because of some cancellations or push outs that made it accelerate a bit from that traditional 60, 65?
Craig Martin: We don't think so at least at this moment. We just ran through a complete check of all of that and our forecast going forward was in that range again. So we feel pretty comfortable that in the next 12 months we'll lead about 60 to 65% of what's in backlog today.
David Yuschak - SMH Capital: Okay. And one last question, as far as mix is concerned, would you expect over the next say 12 months of that and will be technical service and field services and if so what may be some of the driving forces to may be some expectations to getting better bookings out of the technical services.
John Prosser, Jr.: Well, I think we'll continue to see a mix of bookings both moving on into the later phases of things that are now being designed are in... that are in technical or professional services plus we're going to see continued bookings on the professional services side. If... as it's been speculated, there's a little bit more activity coming out of the public sector side because of the stimulus bill and bond issues and such that would tend to be more professional services for us as opposed to construction. So you'd see that side maybe getting a little bit more. But on the refining and chemicals and upstream pharmaceuticals, we have projects in all phases of activity and we just kind of go... they will continue to go through those phases, and we booked things as we go through the phases. It's to sell them the (ph) book of complete project the day we get told we are going to go forward with the front end design or front end feasibility. So these get booked in phases, so I think we will continue to see things being booked in the phases as we go through the project cycles.
David Yuschak - SMH Capital: The next cycle probably be more focused on technical professional side and field services given the kind of softness in the economy right now; is that's a fair statement?
John Prosser, Jr.: Well, we still have a lot of projects that are in process on... that are we are doing engineering and professional services on the... will work their way into the field over the next 12 to 24 months. That's kind of what we've been talking about for the last 12 months. You are seeing it now and the last couple of quarters the field services side of our business has grown revenue, the field service revenue has grown faster than the professional services or where the mix has gone from kind of 55... 45 on the technical services to this last quarter was closer to 55% on field services.
David Yuschak - SMH Capital: Just to ask one final question on, as far as field service revenue is concerned going down... as you've done... doing the technical professional service. How much would that depend upon the current credit conditions when they get that out into the field from the early work you have done on projects?
Craig Martin: I would say that the credit conditions have very little impact on whether or not we go to the field. Again we don't for the most part have customers, who are depended on availability of credit to get their work done.
David Yuschak - SMH Capital: Okay.
Craig Martin: And so it's more of a cash flow question. Now cash flow becomes a problem for our customers that would have a different story. But I don't think credit markets are particularly a big issue right now. I am not... certainly the customers I've talked to, I have not heard that.
David Yuschak - SMH Capital: Okay. Appreciate, thanks a lot guys.
Operator: Your next question comes from the line of Mark Thomas of Simmons & Company.
Mark Thomas - Simmons & Company: Good morning guys.
John Prosser, Jr.: Good morning.
Mark Thomas - Simmons & Company: Thanks for taking my question. Just through quick, Craig, you mentioned valuating China as a growth opportunity. Are there certain end markets that you... that have caught your attention in that region?
Craig Martin: Yes, actually as we I think told everybody for many, many years now, we follow our core clients into new geographies, because we are there to support them. And quite frankly the pharma market in particular is seeing China as a growth opportunity, we are seeing a fair amount of interests in pharma customer being supported by Jacobs. So I... my expectation is that we will go into China on the back of the pharmaceutical relationships that we have and then build from there.
Mark Thomas - Simmons & Company: What kind of time frame is that?
Craig Martin: We are very patient about this stuff, so it will start very modestly over the next year or two and grow modestly from there.
Mark Thomas - Simmons & Company: Okay. And then secondly you mentioned you expect to see some good wins in the National Government segment. Could you quantify those expectations?
John Prosser, Jr.: No, I couldn't.
Mark Thomas - Simmons & Company: All right. Thank you very much. The rest of my questions have been answered guys.
John Prosser, Jr.: All right. Thanks Mark.
Operator: Your next question comes from the line Joel Ritchie (ph) of Goldman Sachs.
Unidentified Analyst: Good morning everyone. Thanks for taking my questions.
John Prosser, Jr.: Not a problem.
Unidentified Analyst: Just one question for you, really, you've mentioned a little bit about your burn rate potentially slowing going forward because of some of the projects delays that you've announced. You talked a little bit about potential margin compression as a pricing environment gets tougher over the next 24 months. Guess I'm just trying to get comfortable with the guidance range that you've given today. And I guess what your expectations are for the rest of the year, particularly on the backlog side. Are you expecting backlog to grow from here, expecting it to be flat, or you are expecting it to decline? I just wanted to get your thoughts on the kind of upper and lower end of your range?
Craig Martin: Well, we'd like to believe we are going to be able to grow our backlog going forward. We certainly are pretty happy with our sales results so far. And I think in the face of the market that most people think we're in. It demonstrates a pretty good ability to both win work and take market share. So, certainly we would like to see backlog continue to grow. We don't think that's like an impossibility. We don't think we're staring the market in the face that you couldn't possibly grow in. And so, that's kind of where we sit on the backlog question. As far as... in terms of what prospectively that means for guidance and we're really not really not prepared to give guidance within guidance.
Unidentified Analyst: Okay, now that's fair. I guess one question on... one follow up question on your burn rate: would you expect your burn rate then to slow sequentially quarter-over-quarter or remain similar to what it was this quarter or potentially grow into next quarter given that you did just announce some delays this past quarter?
John Prosser, Jr.: Well, we don't typically give guidance on revenues. And I think there is... we tend to give guidance strictly on the bottom-line. And there is lot of factors that go in to that. And we aren't really giving guidance on all those factors in each individual piece of those factors. So I think we'll just have to kind of leave it with what we expect to do over the next... this next fiscal year on the bottom-line. And because we... we've had nice growth on the bottom-line at times when we've had very slow growth on the revenues, and we've had vice versa. So the two don't necessarily track in the short term quarter-to-quarter.
Craig Martin: Yeah, what John is mentioning is we really don't forecast revenues much, because it isn't a viable indicator of future performance.
Unidentified Analyst: Okay, all right. Well thanks for answering my questions.
John Prosser, Jr.: I'm sorry if it wasn't the answer you were hoping to get.
Unidentified Analyst: I know, that's okay. I appreciate your candidness.
Unidentified Analyst: He had to try.
Operator: Your next question, follow up from the line of Andy Kaplowitz of Barclays Capital.
Andy Kaplowitz - Barclays Capital: Hi guys again. Craig, I just want to follow up on comments you made on infrastructure. The one thing that I guess I see out there is even in your home state of California, there's... and that's probably the most severe case. There is some issues there. They took $3.8 billion and basically of infrastructure projects in frozen (ph) for short term funding needs. And again I know California is probably more severe than the rest of the U.S., but is it possible that we'll see some sort of whole in your infrastructure business as we go over the next six to 12 months while we wait for stimulus? Or are you just not really seeing the short term funding impacts, because your projects are longer term in nature?
Craig Martin: Well, you can never say it's not possible that there will be a whole as a result of something happening somewhere. But, we certainly don't feel that way right now. California is an important part of our infrastructure business, but it's just a part. And the areas where we have a lot of focus tend to be areas, where regional or local bond issue are driving funding. I've talked about this a lot, but I'll go through it again. If you look at the five counties that make up the Southern California part of our infrastructure business, most of the work is not driven by state funding or tax revenue, it's driven by bond issues that are funded through either sales taxes or some other vehicle, and that... those numbers are huge. Discounting the 30 billion in Los Angeles that was just approved, and that's all the sales tax based issue to fund those. There is probably something north of 2.5 billion of other bond issues that are driving infrastructure investment. So, it isn't as dependent on the state as it appears. Now, the issuance of bond for the $30 billion, certainly there will be people evaluating what sales tax revenue is likely to be. But, it's a very long-term perspective. And so, I don't think that affects the bond issue very much.
Andy Kaplowitz - Barclays Capital: Got you. Thank you.
Operator: There are no further questions at this time. You have any closing remark?
Craig Martin: Yes, let me thank you all for calling in. I think we did have a pretty good outcome for the first quarter. We remain as concerned as anybody about what the future might hold, because there is a lot of uncertainty out there. But, as we sit here today, we think the future for our company is still pretty good. Thank you all very much.
Operator: This concludes today's conference call. You may now disconnect.